Ruth: Please stand by. Morning. My name is Ruth, and I will be your conference operator today. At this time, I would like to welcome everyone to the Biogen Fourth Quarter and Full Year 2025 Earnings Call and Business Update. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. Please limit yourself to one question to allow other participants time for questions. If you require any further follow-up, you may press star 1 again to rejoin the queue. Today's conference is being recorded. Thank you. I would now like to turn the conference over to Mr. Tim Power, Head of Investor Relations. Mr. Power, you may begin your conference.
Tim Power: Thanks, Ruth, and good morning, everyone. Welcome to Biogen's Fourth Quarter and Full Year 2025 Earnings Call. During this call, we will make forward-looking statements which involve risks and uncertainties that may cause actual results to differ materially from our forward-looking statements. Provide a comprehensive list of risk factors in our SEC filings, which I encourage you to review. Our earnings release and other documents related to our results as well as reconciliations between GAAP and non-GAAP results discussed in this call can be found in the Investors section of biogen.com. We've also posted the slides to our website that we'll be using during the call. On today's call, I'm joined by our President and Chief Executive Officer, Christopher Viehbacher, Dr. Priya Singhal, Head of Development, and Robin Kramer, our Chief Financial Officer. We'll make some opening comments, and then we'll move to the Q&A session. And to allow us to get through as many questions as possible, kindly ask that you limit yourself to just one. And I'll now hand the call over to Christopher Viehbacher.
Christopher Viehbacher: Thank you, Tim. Good morning, everybody, and welcome to Biogen's fourth quarter earnings. We finished the year strongly with a very good fourth quarter, and I think finished the year in a very satisfactory manner. We finished slightly above the upper end of our guidance. And I think as we look at the business here, we've principally focused on our growth products, and they generated $3.3 billion in fiscal 2025. That's up 19%. Now you notice we actually include VUMERITY now in our growth products. Tended to just look at MS as one group. But, when you look at the oral segment, VUMERITY is about the only branded medicine left in that. And we have found that actually with intelligent investments, we've been able to grow that brand very nicely. So we're including that in our growth products going forward. When you look at just the products we've launched since 2023, the four, Lekembi, Skyclaris, Xerxuve, and Calcadi, they are now generating over a billion dollars in revenue. And they have also grown very strongly. And in the MS business, actually, still generated $3 billion. So from a commercial performance point of view, I think Biogen is functioning and firing on all cylinders, and doing very well. I think the big story of 2025 is really the advance we've made in our pipeline. You know, Priya will show a chart later on our pipeline, and that chart has really expanded over the course of the year. In this year, we expect to see a number of key readouts that can be iClick, and I'll come back to that. That's under review in The US, Japan, and China, and US as you know, we got a priority review and have a PDUFA date of May 24. Lidofilumab, which is an important new medicine in lupus, has been granted FDA breakthrough designation for the cutaneous form of lupus. And, you know, we are actually starting to expand our early stage pipeline. We put a BTK degrader into the clinic early this year. I'd also point out the acquisition of Alcion Therapeutics, which will really, I think, improve the experience of patients who get injections. You know, I think SPINRAZA, in the eyes of many physicians I talk to has a high efficacy, but at some point patients do consider that the intrathecal is a problem. And this is an opportunity to replace the intrathecal with a much more convenient delivery mechanism. We also have been in business development. And in the fourth quarter, we had new collaboration with Vanqua and Dara Therapeutics. Go to the next slide. So Leukembi is still the market leader, and can to be the market leader with about over 60% of the anti-amyloid therapy market share. I would remind everybody that we tend to wanna look at new Rxs. As a measure of a launch. And this is one of those areas where that might not be the most appropriate thing to look at because the competitor product really is only in therapeutic use for a limited period of time. And only the can be actually has a maintenance indication. So I think in this case, actually, looking at total prescriptions is the most appropriate way, and that's where Lucanbi clearly continues to be the market leader. Now this year, we're gonna see the, hopefully, the approval of the iClick. We've had the iClick approved, for maintenance last year. Along with getting the maintenance indication. That's already important. We're seeing a lot of patients come to the end of the plaque removal phase. And the persistency data suggests that we have about a 70% persistency. So that's people who are continuing on with therapy even after the plaque removal position. The iClick was introduced in October, Now that's a Part D reimbursement, and we won't have that reimbursed fully until 01/01/1927. However, patients who want that are able to request formulary exemptions. And from what we've heard, that virtually everybody who has been asking for that seems to be getting that. We don't have obviously very clear data on that. Now the game changer could be really the iClick for induction. One of the competitive aspects of dananemab is that it has once monthly infusions where we have once every two week infusions. Once you move to a subcutaneous injection, now we're not talking about infusions at all anymore. And, you know, we're hearing certainly stories that, people want to travel and people don't necessarily are aren't always able to long drive long distances to infusion centers. So we think that the iClick could actually, act create a whole new opportunity and certainly reduce the burden for neurologists. Remember, there are about 500,000 new patients diagnosed every year with Alzheimer's, and only really 13,000, neurologists. So to the extent that we can make this care path more convenient for both the physician and the patient, We hope that that can increase the throughput. We're already seeing with the, increased use of blood-based diagnostics that those patients who have their diagnosis validated and who are actually eligible for therapy has actually increased from about 50% to 70%. So, you know, all of these things, I think, are moving in the right direction. Remind everybody that the, you know, the market has more than doubled, anti-amyloid therapy. And I think we're seeing a growing we're see we're certainly hearing a number of stories from the from the physicians that they're actually seeing benefit in patients. The CDR Sum of Boxes is really only used in clinical trials. And not in actual practice. And so let's say, I think, this all augurs well for continued growth in this business. And perhaps going into next year, we might even see an acceleration of that growth. Go to the next slide. So here's where, you know, what we've been trying to do really is build a bridge to growth. And really the growth we see in three different ways. The first is, you know, obviously to grow those, new medicines that we have. And you see them on the chart, that's the today. And, you know, when you actually look at this chart, with the exception of VUMERITY, all of these were not only first in class but also first ever treatments for diseases. So that's meant that we actually are going in with breakthrough medicines, but we also have to create those markets. AKINBI, we've talked about. SPINRAZA, we've been able to launch the high dose in Japan. Early signs from the Japanese market are that we're actually going ahead of expectations on adoption. And actually seeing some, switchbacks. You know, we look forward to seeing more data it comes along. Europe will be next up. And, of course, we have PDUFA date in April for high dose in The US. Xerxuve is really been a surprise to all of us. Again, we more than doubled sales in 2025. This is really I think, also, opening opening people's understanding to the real burden of postpartum depression. And we're seeing a number of prominent people, like Jennifer Lawrence, and we were just featured in surgery way was just featured in People Magazine. And this is not only leading to some commercial success, but I think really changing the perception of postpartum depression. This is still highly undiagnosed, approximately half a million mothers every year suffer from this, and only about 80,000 are diagnosed. And still fewer obviously treated on zirzube. There's a real opportunity to both grow this market, but I think also really make a real difference in postpartum depression. Skyclaris continues to grow. We saw approval in Brazil, this past year, and we're looking for launching that this year. We're now into launching this product pretty much everywhere around the world except in Asia, of course, where this disease doesn't really exist for genetic reasons. You know, we often are running ahead on the numbers that patients versus sales because we're providing the product through early access programs and then negotiating as we go along. So I think we'll continue to see, steady progress. You know, like SPINRAZA, these are medicines that tend to have a bit of a lumpy sales trajectory. Personally, I like to look at rolling four quarters of these. We're in the low volume, high value, products. If you take SPINRAZA, there are some countries who only ship once or twice to in the year. So, the timing of shipments is, can actual trends if you're just looking at a single quarter. But then, you know, now that we've got those growing and I just told you about how strong those products have been, we've got a whole next layer, next wave of potential growth with ladafilimab, the SLE data coming, hopefully, by the end of the year, velzartamab, will show data in AMR potentially next year. Zorvenirsen, our partner Stoke has indicated that they might be able to be, having a data readout in '27 as well. Dipirolizumab, we already have one positive phase three, and we're executing on a second phase three. Salineersen had, extremely interesting results, after phase two. We were administering the drug in children who had already had gene therapy, for example, in infancy. But at age four or five were still not able to sit or stand. And, you know, we saw some examples of that. Obviously, all of this has to be confirmed in a phase three study, which we have ongoing. And then the can be preclinical is also potentially a real game changer. You know? We all have to remember that this disease is really a silent disease for many, many years before people ever get symptoms. And throughout that period of time, people are losing neurons. And so it would seem to make sense that, treating patients earlier and being able to preserve a maximum number of neurons should have a benefit. And that's really what this clinical trial is designed to show is going into early stage patients, can we see that we can either prevent potentially ever getting symptoms or at least deferring the disease into much later into the future. That's a huge undertaking. We began recruiting for that study in 2020. It's been fully recruited, and we would expect see results in 2028. So you can see that this is gonna be a very rigorous study. It'll be a landmark study. The be not only important from a commercial point of view, but this is really groundbreaking science and will inform the entire neurology community. So And then, of course, we still are investing in earlier stage. We have a potential readouts for some high risk, high reward, projects like the LARC two and in, in Parkinson's. We have a new modality, which could be extremely interesting, which is the anti tau ASO that will also read out of phase two this year. And we're really focusing on on our research portfolio. I talked about some of the collaborations we've been doing. We've got the the DTK. We've got an a rack four for lupus going into the that went into the clinic. And we're looking to add more early stage BD deals, but I think we've also got a few more INDs that could come into the clinic over the eighteen months. So next slide, please. So what are we focusing on really in 2026? Obviously, you know, we have an important date with the LAKEMBY approval for the subcutaneous AI initiation coming up on May 24, and we'll, obviously hope to see that, get approved. We also have the, hopefully, the approval of the high dose regimen for SPINRAZA in The US that has a PDUFA date in April. We've got the two phase three studies in lislelizumab in and I wanna congratulate Priya because, there are about 55 other clinical trials ongoing in lupus, and Priya and her team were actually able to accelerate. Originally, this was not gonna read out until 2027. So for me, I always from a commercial point of view, I like to see accelerated development because it augurs well for for later stage commercial potential. And finally, you know, we're advancing that high risk high reward pre POC pipeline I would say today, we feel pretty good about where our late stage pipeline is, but we do need build up our earlier stage pipeline. And that's gonna lead to full year guidance on a non GAAP diluted EPS basis of about $15.25 to $16.25. So I think with that, I'm gonna be turning that over to Priya.
Priya Singhal: Thank you, Chris. I'm really encouraged by the progress that we've made to rebuild and transform our development pipeline. As you can see from this slide, most of these late stage, high scientific conviction opportunities are new. Having been added in just the last twelve months. And as we announced last quarter, we have accelerated TOPAZ-two our second SLE study for litifolumab, which is now expected to read out by the end of this year. What you can also appreciate from this slide is that 2026 is an important year that begins a multiyear registrational data flow for over the next several years. And in just the next eighteen months, we could see data from nitifilumab for both SLE and CLE, and data from talsadimab in AMR. All of these being registrational readouts. Importantly, as you have seen, we recently announced securing priority review for the Chembi iClick initiation and received breakthrough therapy designation for litifolumab in CLE. It is very encouraging to see that these programs are also being recognized externally as potentially impactful. We also continue to demonstrate and emphasize scientific leadership. We recently presented new data across some of our key franchises at medical congresses including meetings hosted by the American Society of Nephrology, and the American Epilepsy Society. In December, we also presented at CTAD where we highlighted the importance of continued utilization of lukembi in a maintenance setting. And just this week, we published Pivotal Devote SPINRAZA high dose data in Nature Medicine. All of this put together reinforces our belief that our pipeline will continue to play a critical role in delivering the new Biogen. Turning now to our full development pipeline. Which we believe we have transformed into a more balanced portfolio across the risk reward spectrum. This is the result of a very deliberate process that we have carried out over the last few years to discontinue lower value projects and bring in new potentially higher value assets. Today, our late stage registration pipeline consists of high scientific conviction programs with significant commercial potential. This is different than the Biogen approach in the past. It is also balanced alongside our early stage pre POC pipeline with the high risk, high reward assets where we continue to follow the science to determine next steps. We remain focused on broadening our early stage pipeline from both internal research assets and potentially business development opportunities. Today, we continue to make progress by adding Big one forty five our BTK degrader into the clinic, having recently initiated a phase one study in normal healthy volunteers. And we continue to look to potentially add more INDs into our pipeline over the next several years and months. Turning to the future. And looking forward to the next eighteen months, I'm really encouraged by the number of expected data readouts and key milestones. And I would now like to highlight some of these. Starting with SMA, we now have SPINRAZA high dose approval in Europe and Japan, while we await a regulatory decision in April in The US. With salinersen, which we believe could transform the standard of care in SMA, we expect to present exciting follow-up phase one b data at the Muscular Dystrophy Association meeting next month. With ladifilumab and billing on our v breakthrough designation for CLE, we are now planning and preparing to share new data from the phase two portion of the phase two, three seamless amethyst CLE trial at a medical meeting hopefully, in the first half of this year. Excitingly for the Kembi, with priority review, we now expect to have an FDA for iClick initiation in May. Importantly, we also have regulatory filings underway both in Japan and China. We believe iClick is a differentiated important opportunity that could provide additional optionality for patients as this important market continues to grow. We also expect to have data from our pre POC pipeline for 122 in Parkinson's disease, and BIB eighty in early Alzheimer's disease sometime around mid year. These datasets will guide us in determining the further development for these assets. Most importantly, for 2026, we are looking forward to the ladufilumab phase three data in SLE. Expect expected at the end of this year. And we continue to be encouraged by the opportunity in CLE. Where we expect to see data around midyear next year And in a similar time frame, we'll start to see data reading out for fezartumab in AMR. In conclusion, I hope you can appreciate the increased momentum of our pipeline over the next eighteen months. And we believe this will drive our goal of delivering the new Biogen. I would now like to hand the call over to Robin for an update on our financial performance.
Robin Kramer: I'd like to provide some key highlights about our strong fourth quarter and full year financial results. Unless otherwise noted, the comparisons I make during my remarks are versus 2024 and refer to non-GAAP unless otherwise stated. Starting with earnings, Our fourth quarter and full year 2025 non-GAAP EPS came in above our expectation. Fourth quarter non-GAAP diluted EPS was $1.99. Full year non-GAAP diluted EPS was $15.28. As expected, our Q4 2025 GAAP and non-GAAP results reflected $222 million of IPR and D charges. For our fourth quarter business development transactions including the license agreements with WANCA Bio, Dara Therapeutics and the acquisition of Alcion Therapeutics. This had a $1.26 impact on EPS. I'd like to point out that our GAAP operating income was impacted by approximately $180 million of one-time charges that occurred in the quarter relating to litigation and other matters. We achieved strong revenue performance for the year, Our growth products performed well. Generating over $800 million in Q4 2025 and $3.3 billion for the full year 2025. Up 69%, respectively, versus 2024. In addition, we continue to see resilient performance from our U.S. MS business. Total revenue for the full year 2025 was $9.9 billion up 2% versus 2024. Our strong commercial execution, combined with disciplined expense management, enabled robust cash flow generation. As a result, we delivered $2.1 billion in free cash flow for the year, exiting the year with $4.2 billion in cash and marketable securities. This further strengthened our balance sheet and provides us with flexibility as we continue to invest for growth. I'll now cover our Q4 revenue performance. In Q4, revenue from our growth products exceeded revenue from our MS business excluding VUMERITY, which we include in our growth products. Akembi continued to see steady sequential demand growth globally, with fourth quarter end market sales booked by Eisai of approximately $134 million up 1054% versus Q3 2025 and Q4 2024, respectively. But can be delivered steady sequential and year over year growth in The U.S. And internationally. Skyclaris saw sequential global patient demand growth with Q4 global revenue of $133 million representing 30% growth year over year. In The US, Q4 revenue was $89 million. This represents sequential growth of $14 million which benefited from approximately $9 million of favorable inventory dynamics. We expect this inventory build will be drawn down in Q1 2026. Outside The U.S, fourth quarter revenue of $44 million was impacted by approximately $12 million in net pricing adjustments. Looking forward, we are optimistic about the future growth as we bring on new markets. Global SPINRAZA revenue in the fourth quarter was $356 million. In The U.S, we were pleased to see SPINRAZA growth year over year. Where fourth quarter revenue was $169 million. Outside The U.S, fourth quarter revenue of $188 million was impacted by the timing of shipments. Overall, SPINRAZA continued to demonstrate resilience in a competitive market with full year revenue down 2% year over year. VUMERITY fourth quarter revenue was $181 million driven by steady year over year demand growth boosted by improved affordability in The US, with the IRA Part D redesign. Q4 U.S. Revenue was negatively impacted by timing of shipments associated with the favorable inventory build we discussed on our Q3 earnings call. For the full year, VUMERITY generated $747 million representing 19% year over year growth. And we are pleased to see strong performance from ZERZUVE and CALSADI, driven primarily by increased demand. For our remaining MS products, global TESARBRI revenue in the fourth quarter was $398 million demonstrating continued resilience. In The U.S, we generated $244 million of revenue. Ex U.S. Revenue was $153 million where the impact of biosimilar competition for the IV formulation in The EU was partially offset by continued demand growth for our subcutaneous formulation. TECFIDERA saw the expected acceleration of generic erosion in The EU, which we expect to continue in 2026. Revenue from our anti CD20 therapeutic programs was $521 million in Q4 2025. Up 12% year over year. This increase was driven largely by royalties from Ocrevus, which benefited from the subcutaneous launch. Now a few comments on the rest of the 6% Q4 2025 versus Q4 2024 and ten percent for the full year 'twenty five versus the full year '24, primarily driven by continued cost reduction measures realized in connection with our portfolio prioritization initiatives and our Fit for Growth program, offset in part by our investment in our Phase III clinical programs including selzartamab and litafilimab, which was funded in part by an R and D funding arrangement. 1% for Q4 and full year 2025 versus 2024. Driven primarily by planned prelaunch activity supporting lupus and nephrology and direct to consumer advertising for the Lekambi and VUMERITY. As I discussed earlier, our GAAP and non-GAAP results include a $1.26 impact from our Q4 business development transaction. Our GAAP and non-GAAP tax rates in the quarter benefited from the release of reserves upon the expiry of a statute of limitation. We are pleased with the quarter and our full year 2025 results. This strong commercial execution, coupled with disciplined financial management, drove continued robust cash flow performance for both Q4 and full year 2025 with free cash flow of $2.1 billion for the full year 2025. And turning to the balance sheet, as a result, we have further strengthened our financial position and closed the year with $4.2 billion in cash and marketable securities, and $2 billion of net debt. Financial strength provides us with flexibility to support strategic investments as we look to drive meaningful innovation for patients and long term value for our shareholders. Looking ahead, we believe the transformation activities we have taken so far have established a strong foundation to deliver on the vision of the new Biogen. A crucial element of realizing this vision is our commitment to strategically invest in prelaunch activities to support our lupus and nephrology portfolio. We are focused on ensuring that we are well positioned for the portfolio of the future while continuing to maintain our focus on financial discipline. With our first Phase III data expected at the end of this year for liticilimab and SLE, and next year for falzartamab and AMR, we are making critical investments now to position ourselves to launch these products successfully. And at the same time, we are expecting to keep our core OpEx in 2026 roughly consistent with 2025. Now turning to our outlook for 2026. We expect full year non-GAAP diluted EPS to be between $15.25 and $16.25 reflecting growth versus our full year 2025 results. Total revenue is expected to decline by a mid single digit percentage for 2026 compared to 2025. Competitive pressures in MS are partially offset by increased revenue from our growth products. We expect our full year revenue for our MS product excluding VUMERITY, to decline by a mid teen percentage versus 2025. We expect our full year contract manufacturing revenue to be roughly $300 million in each half of 2026. Moving to the P and L. We expect gross margin to be roughly consistent with 2025, And building on my comments regarding consistent OpEx for the year, we expect Q1 expense to be roughly 10% higher than Q1 of last year due to phasing us spend in 2026. Be sure to review this slide and our press release for other important guidance assumptions. Now I'll pass the call back to Tim for Q and A.
Tim Power: Thanks, Robin. Let's go to our first question, please.
Ruth: Thank you. If you're dialed in via the telephone and would like to ask a question, please signal by pressing star 1 on your telephone keypad. Again, that is star 1 to ask a question. Your first question comes from the line of Alex Hammond with Wolfe Research.
Alex Hammond: Hey, guys. Thanks for taking the question. I guess one on Mackenzie. Can you walk us through how to think about the cadence of sales growth this year? We're really just trying to understand the timing and percent of patients likely to go on to maintenance and how that may impact revenue. You very much.
Christopher Viehbacher: Sure. Thanks very much. So like I said, we don't really have clear data about how many patients actually go on to maintenance since we really only know how many vials we sell. But the data that we do have suggests that there is this persistency of about 70%. So that suggests that quite a number of people come to the end of the plaque removal period and go on to maintenance. Now the vast majority of those are still on the monthly infusion because you switch from a biweekly infusion during the plaque removal period once you go on to maintenance, that becomes once a month. Now we're also seeing a progressive take up of the subcutaneous pen, But, again, we don't have full reimbursement for that, so patients have to go through the formulary exemption process. So I think what you're gonna see is pretty much continued sequential quarter on quarter growth. There's increased use of blood-based diagnostics And that is, as I said earlier, helping to make sure that those patients who are eligible for treatment are actually getting to see the neurologist. An increasing number of neurologists, again, right now, our estimate is about 10 to fifteen percent, but that's expected to grow. Are using the blood-based diagnostics to validate the diagnosis. Which will hopefully reduce the number of PET scans and lumbar punctures. There's an economic reason for that too. A PET scan costs about $5,000. The cost of a test is, I think, somewhere around $140. So there'll be an economic reason to move to the blood-based diagnostic. Obviously, if we can get the pen for induction approved, that is a major benefit. I think we're also gonna see, though, that not everybody is going to immediately go to that. I think certainly, for those patients who are perhaps more rural based, and have a long drive to an infusion center, you might see a more rapid uptake. We've certainly heard some physicians talk about the desire to continue to have the patient come in at least in the early phase of plaque removal to monitor the potential for ARIA and do the MRIs. So, now what we do hope is that with the approval of the subcutaneous for induction, that as payers start to look at their formularies for 2027, I think there is a good chance that some payers will take the subcutaneous for both induction and maintenance. And that both of those become fully reimbursed on January 1. Now that's kind of an individual payer decision, and we won't know until they announce their formularies, in the fall of this year. So I think, you know, you're gonna continue to see as I said, that linear growth pattern. But, you know, I think we're also seeing some very strong response to direct to consumer advertising. So all of these factors are accumulating. We're certainly hearing anecdotal evidence that physicians seem to be appreciating the benefit that they see in their patients. So, you know, I think in the first half, it's probably continued linear growth. Sometime in the latter half of the year and certainly potentially going into '27, there's a potential for acceleration in that. But you know, I think we really need to see the full reimbursement to make sure we take full advantage of the subcutaneous pens. Thanks, Chris. Rose, can we get Ruth, beg your pardon. Could we go to the next question, please?
Ruth: Yes. We'll go to Phil Nadeau with TD Cowen.
Phil Nadeau: Chris, I think the number one thing investors are debating is when Biogen's top line could return to growth. What are your thoughts on that? When do you think the growth products could overtake the legacy franchises? And what role could business development have in Thanks.
Christopher Viehbacher: Well, so far, the growth products in the last two years certainly last year, did outstrip the decline of EMS. Now this year, we'll see a full year of TECFIDERA generic erosion in Europe. We had about six months of that in 2025. I think we will see a little bit more erosion of the MS portfolio as a result of that. At the end of last year, we also saw the introduction of a biosimilar for Tysabri, It's early days yet, so we can't really determine the erosion. But I think we're reasonably optimistic that we can maintain a strong market share, for Tysabri brand. This is a there's a limited number of physicians who are very strongly, believers in the importance of Tysabri. So, you know, that's what we're gonna rely on. We also have an extraordinarily strong patient services organization in our US company. I think to really return to growth, I think there's two things really need to One is we do need to start seeing the positive Phase III results come out and the launch of products. So you know, if we assume that the phase three for ladafilumab is positive for SLE, know, that could be launching in '28. If we assume that the AMR data are positive, that could be a launch in 2028 as well. And I think particularly AMR could be a launch that takes off quite quickly. Just given the identified patient base that exists and the fact that there's no treatment. The other, of course, is BD, and we continue to look for potential acquisition opportunities. These are companies that are post phase III results and early or early stage in their commercialization. You know? And certainly no more than around the $5 billion ish 5 to $6 billion mark. But you know, the reality is is that it's hard to find things that actually generate value for our shareholders. There are certainly companies out there, but we haven't found one that we can acquire for a price that we think makes sense for our shareholders, but we continue to look. We are looking every day out there in the marketplace, and I think that's an opportunity. But equally, I would say, you know, we have some pretty high conviction in our late stage pipeline. Now nothing is ever given in research and development as we all know, But, you know, 10 phase three programs, that's a real achievement from over the past year because, you know, at the 2024, you know, we really only had ladifilumab. Now we, you know, we not only have those programs, but, you know, we've got, a potential know, let's see what happens with BIB 80 and the LARC two and we're starting to put programs into the clinic. So you know, we're continuing to look, but I think it's really seeing these products launch and if we can, find, find an acquisition. But otherwise, you know, I think we've been able to really again create that bridge to growth. We're generating cash. We're generating profits. And we're investing significantly in our growth brands.
Tim Power: Thanks, Chris. Let's go to the next question, please.
Ruth: Our next question comes from the line of Brian Skorney with Baird.
Brian Skorney: With the BIB080 catalyst coming up, I was just wondering if maybe I can get a comment from Chris or Alicia if she's on the call. Obviously, you guys have been very successful SPINRAZA as an as an intrathecal injection even in the face of oral competition. But Leukembi has been much harder in Alzheimer's as an IV, which I think most would agree is an easier mode of administration. Than intrathecal. So I guess how would we be thinking about the commercial opportunity for 80? And what sort of clinical data is really needed Success over LeCambi? to kind of see the next level of commercial sec?
Christopher Viehbacher: Well, I think we really wanna see the data. You know, what I can tell you is that the neurology community is gonna be also looking at these data very closely. Every Alzheimer's expert I talk to really thinks tau is an important target, and if you look at the severity of Alzheimer's, that's really related to the level of tau. So there is there's a logic there. And with BIB 80, we know we can actually reduce tau. The question will be how long do you have to reduce the tau for to move the needle on cognition. And, you know, I think you've seen from the GLP one data that it's quite hard to move that level of cognition. So I think we wanna see the data first, I think if there is, then you also wanna see what the side effect profile is. There's a belief that we're not going to have anything like ARIA. But, again, we need see those data. This is a phase two data that is really breakthrough science. Nobody knows. Nobody has been able to move the needle so far. Our belief is also that, you know, it's the intracellular tau that matters as opposed to the extracellular tau, which is why the antibodies haven't worked. I do think it's a complex disease, Alzheimer's, and most complex diseases require multiple modalities. And so from a commercial point of view, obviously, there's already a lot of speculation about what would be the sequencing of these treatments. Would you treat the tau first? Would you treat the abeta first? Are you put these in combination? And then there's also an opportunity once you see the data. Can you go into other tauopathies? So it's a little premature to say, but I can say that if it is positive, I think the neurology community is gonna be very excited about that. But I would also remind everybody that we would then have to go into a phase three program and anything in Alzheimer's doesn't happen on a very quick basis. This would take several years again, to be able to do that phase three and launch the product.
Tim Power: Thanks, Chris. Let's go to the next question. Thanks, Ruth.
Ruth: Yes. Our next question comes from the line of Michael Yee with UBS.
Michael Yee: Hey, guys. Thanks for the question. Following up on Bib 80, which I think is gonna be really an important readout. I understand the primary endpoint is CDR some of the boxes after eighteen months, which is great. And I think the study is well designed. But how important is looking at subgroups for example, high tau versus low tau or any of those prespecified how important is the tau sub study where, obviously, PET tau imaging is gonna be critically important to see if we're actually doing Thank you.
Christopher Viehbacher: Priya?
Priya Singhal: Thanks, Michael. No. It's very important. I would say, I think as Chris just outlined, this is a very important test of the scientific hypotheses. So we'll be looking at tau PET. We'll be looking at fluid biomarkers. We'll be looking for trends and clinical data, and we'll be trying to triangulate all of that. And importantly, I think we've set it up well because we do have a tau sub study. And we are testing as I'll just remind everyone. We are testing three doses and two dosing regimens. And it is a randomized controlled trial. So all of that will be very informative. We believe this will be very important to assess. Yeah. All of it.
Tim Power: Thanks, Priya. Let's go to the next question, please.
Ruth: Yes. We will go to Salveen Richter with Goldman Sachs.
Salveen Richter: Good morning. Thanks for taking my question. When I look at your late stage registrational pipeline, you've put that whole basket under high conviction here. And I just wanted to understand in the context of lixilimab, with these phase three trials reading out and the kind of mixed phase two datasets here and just the innate risk around lupus, what it is that leads you to believe that this is high you know, that you have high conviction here in the outcomes on the phase three?
Priya Singhal: Thank you, Salveen. Well, I'll just start off by saying that we really believe that ladasolumab is a scientific conviction late stage program. And the reason for this is that it targets the b d c a two pathway, as you know. And we know that b d c a two is really a receptor that is expressed exclusively on what we know as the PDC cells, human plasma cytoid dendritic cells, which regulate immune response and then control the type one interferon signature pathway. And I think that what we've shown, and we have published this in the New England Journal of Medicine, both the parts of the LILAX study where in the first part of the study, we looked at systemic lupus, and in the second part, we looked at cutaneous lupus. And in both independently, we believe we had important data that we would classify as proof of concept. So I think we have designed the trials to really be assessing that and confirming that. Our primary endpoint is also similarly, you know, established as SRI four, which is the SLE responder index. And what's important about this primary endpoint is that it requires a more than a four point or greater reduction with no worsening. So really captures disease activity. And I think that because of the pathway, which is very relevant for skin and joints, we have targeted our inclusion in the litifilumab topaz one and topaz two trials to be really appropriate for the mechanism of action. So overall, we remain encouraged and optimistic. Of course, we have to wait for the readout. And, again, the readout for SLE is end of the year. And CLE will be sometime midyear next year.
Tim Power: Thanks, Priya. Let's go to the next question, please.
Ruth: Yes. We have a question from Umer Raffat with Evercore.
Umer Raffat: Good morning, guys. Thanks for taking my question. Maybe I'll switch gears to selzardimab. For a quick second. How important is it for you to hit on the EGFR endpoint beyond the primary endpoint? And I'm asking because in back in phase two, it was hard to evaluate that endpoint given the massive imbalance on EGFR. And on this pelsartan map point two, I guess, do you think about limiting the scope of development to just kidney transplant AMR? Why not AMR and other organ transplants as well? Thank you very much.
Priya Singhal: Thanks so much. So overall, I think it's a very important endpoint. I think, you know, as we've set it up, the primary endpoint is what we'll be focusing on, but we'll be definitely looking at all the secondary endpoints. And I think eventually, as is in most cases, the totality of data will matter. We remain really excited about it based on the proof concept. It was a small trial, but the magnitude of effect of greater than 80% that we saw in that small phase two trial, was really compelling. And I think that that's really the piece that is very encouraging. Now speaking of other transplants, thank you for that because we are ourselves evaluating the impact of the c d addressing the c d 38 autoantibodies in other transplants. So it remains an important area of internal evaluation and query. And, you know, obviously, we'll communicate more on that as this becomes important. I also wanted to call out that we have you know, we are in the process of initiating another sort of sister indication trial with the microvascular inflammation, which we think is going to be a very important aspect as we continue to, you know, think about what do patients and prescribers really need in the field of antibody mediated rejection.
Christopher Viehbacher: Yeah. I think the only thing I would add is that we do we are aware of some physicians who are experimenting with CD38. I know of some physician, for example, in heart transplant, and we'll be monitoring, obviously, a lot of that activity. We're not sponsoring any of that, but certainly be looking to learn from whatever experience they have.
Tim Power: Can we go to the next question, please?
Ruth: Yes. Our next question comes from the line of Evan Seigerman from BMO Capital Markets.
Evan Seigerman: Hi, guys. Thank you so much for taking my question. Want to touch on HD SPINRAZA With The Potential Approval In The U.S. Coming in April. Should we think about what that could do to your top line growth for 2026 in the rare disease business? Thank you.
Christopher Viehbacher: So like I said before, the first country to approve this was Japan. And again, we are seeing higher results initially. I mean, we're the first few months of launch, so, it's difficult to draw definitive conclusions, but we're certainly, off to a better start than we even had expected. And it's not just, as I said, in terms of adoption, but it's also switchbacks. You know, we certainly have seen much higher levels of efficacy in the study, which suggests that there's an increased benefit to getting to a therapeutic level faster. I know in Europe, it is our teams are very excited about the launch, and they'll be next up, and we'll see results from that. And, you know, the feedback again is the community as everybody's been waiting for these data. So the big thing in the SMA market is really efficacy versus convenience. You know, most physicians I talk to, and I like to go and talk to physicians who prescribe SPINRAZA around the world. And if you ask them about efficacy, they will most of them believe that it's really SPINRAZA. But, you know, at some point, the convenience of the oral starts to attract patients. Now here, we're gonna be dramatically increasing, the level of efficacy, and I think the choice between oral and efficacy will be harder for some physicians and parents. Market research suggests that there could be, an increase in sales, but I think I would say there's no market research like actual sales. So I think there is an opportunity for upside here. How fast physicians will be willing to transition patients is something that I think we have to wait and see. For practical purposes. But it is an important launch. And, again, it's been highly looked, to toward from the part of the patient advocacy groups as well as the physician community.
Tim Power: Ruth, can we go to the next question, please?
Ruth: Yes. We will go to Brian Abrahams with RBC Capital Markets.
Brian Abrahams: Hey. Good morning. Congrats on all the progress, and thanks for taking my question. So you have a slide detailing some of the prelaunch activities. And guess I was wondering if you could maybe talk through the on the ground process of pivoting and redeploying the existing commercial infrastructure ahead of the potential lupus nephrology launches and while sounds like cost structure won't change much this year, Broadly speaking, I guess, I'm wondering how you would expect commercial investments will need to evolve longer term in order to support the potential growth that you're bridging to? Like, do you have a long term margin target?
Christopher Viehbacher: Well, the first thing is acquisition of experience and capability. Because we're going into areas where Biogen has not been present in the past. You know, with AMR, we'll be seeing transplant nephrologists. With IGAN, we'll be seeing nephrologists. With lupus, we're going to see rheumatologists. And, so in each of these, and, of course, outside of US, we're going to see epileptologists and neurologists. So we need to build capabilities. And there, you know, I think I'm extremely encouraged. Market research is always hard to do because it a little theoretical for physicians. So one of the surrogate markers I look for is the ability to attract pay talent. And we've brought in a number of people from companies who have already a strong presence in those areas. And, you know, when you're betting your career on a product, I think that's an important move for people. And so people who are joining Biogen are joining because they see potential in these products. So I'm already encouraged by that. But the interesting thing is, I remember when we were developing Dupixent, you know, all of the indications that DUPIXENT has today, are areas where Sanofi previously had no experience. And yet, actually, by recruiting really not very many people in medical and commercial. Sanofi's obviously made that a successful product. And the reality is is that you don't need to have the entire team necessarily have that experience. You need to have enough medical capability. And on the commercial side, at least the commercial leaders with that. So I don't foresee that this is gonna have a massive impact on our OpEx trajectory. But it is important that we have people who understand these spaces because as I always say, if you've launched one product, you've launched one product. There are so many differences, between physician types, the patient. We have to really understand the patient journey. So today, we're investing mostly actually in market research. We're gonna be obviously present in congress and presenting the data as they come along. But, it's more of a getting ready, at a global level and then progressively at a regional and local level, and we're not this stage really looking at seeing any major change in, as I say, in the actual level of investment.
Robin Kramer: Yeah. Chris, what I would might add is that we look to the largest degree possible to reallocate resources from our legacy business towards our growth products, both in launch and those that are in the pipeline where we may have the opportunity to bring them to market.
Tim Power: Let's go to our next question, please.
Ruth: Our next question comes from the line of Jay Olson with Oppenheimer.
Jay Olson: Congrats on the quarter. Thanks for taking the question. We have a financial question to follow-up on part of what Brian was asking. We're curious about the product margin for Lycanby. Can you talk about the level of expense that you're investing in Lycanby? How does it compare to where you would like it to be longer term? And what's the steady state target for Lakenby's product margin? Thank you.
Robin Kramer: Yeah. So, we don't get into the specific product margin associated with the But as was the case with most launch products, as the launch progresses and we continue to make enhancements on the manufacturing processes, we would expect that we would see improved margins over the near to mid term.
Christopher Viehbacher: Yeah. Like most products, I mean, this is really gonna be driven by revenue. Right? I mean, they we are certainly investing significantly still in r and d. We have the AHEAD three four five study. We've been developing the sub subcutaneous formulations, and all of those are extremely important for the development of the can be. From a commercial point of view, there's still a significant investment. This is an area, again, where we're having to create the market and educate. And so I wouldn't necessarily expect, though, to see the OpEx level totally to expand, but I would see if we're gonna see margin expansion it's gonna be because the revenue starts to grow into the OpEx level, if you like. So I would say we should see increasing margins time as long as the revenue increases.
Tim Power: Thanks, Chris. Let's go to the next question, please, Ruth.
Ruth: Our next question comes from the line of Eric Schmidt with Cantor.
Eric Schmidt: Thanks. Maybe another one for Robin on capital redeployment. Your balance sheet is meaningfully stronger than it was. You're still creating a lot of cash flow. And Chris just asserted a lot of confidence in the pipeline, including the late stage pipeline. Is this the right time for a share buyback or otherwise a return of capital to shareholders? Thanks.
Robin Kramer: Yeah. So as it relates to deployment of capital where we're focused on deploying capital in a manner that creates long term shareholder growth. As Chris mentioned, we are looking to deploy capital towards business development transactions. But we do think about capital deployment in a broad manner, and so it's not out of the question that we might consider share buyback. But at this point, we're primarily focused on growing that top line.
Tim Power: Thanks, Robin. Let's go to the next question, please.
Ruth: Yes. Our next question comes from Chris Schott with JPMorgan.
Chris Schott: Great. Thanks so much for the question. Just a bigger picture one on the pipeline. Chris, I know one of your priorities when you joined was creating a more balanced pipeline Seems like you've clearly been doing that in the late stage. But on the earlier stage pipeline, just elaborate a little bit more on your priorities here. Should we just thinking about there being more of these kind of high risk, high reward type assets is that part of the pipeline we should think about that same kind of balancing out approach?
Christopher Viehbacher: Playing out over time? No. I don't think we have the size as a company to be in the high risk, high reward business. So I think we do have a lot of capability and all Alzheimer's and ALS. So I think you know, ALS, I think we believe that we can still invest there without so much risk because for us, at least, the neurofilament is an important biomarker. And so we believe that we'll get an early read as to whether a molecule is working or not in ALS. And that makes it a whole lot less, high risk, but it's still a very high reward area, obviously, if you could do something for the sporadic ALS population. So we haven't abandoned that. In fact, we have several targets in preclinical that we're working on. Alzheimer's is an area that we believe is gonna be a core part of Biogen going forward. And beyond tau, we are working on some other areas and mechanisms. But that's pretty much the extent of our neuroscience. There's still MS, We are working on MS, but you know, the area of unmet need in MS is pretty narrow now. It's really progressive MS, and that's an extremely important area of unmet need, but it has equally been a very difficult target to hit. So there is some limited work on MS. But most everything else in the early stage really looking to immunology. And immunology is obviously a big space. And I would say, you know, if I'm in a five year time horizon, we're really sticking with this rare immunology, space as we've seen with elsartanib, for example, and, and other products. But as you get into earlier stage, then I think we can open up the aperture a lot more. And if you look at something like a Dera, or even the VANQUA, those are those both are opportunities to have a portfolio and a product. That's the really interesting thing about immunology. Is that as you follow these immune pathways, you're gonna have a principal target. But once you have derisked the safety of that, it's relatively cost efficient to be able to go and do, signal seeking studies in other areas. And so I think that's one of the areas we were looking for because it's a highly cost efficient area, for a company of our size. And most of I would say there's gonna be probably a lot more in immunology than neuroscience. But as I say, ALS and Alzheimer's and to a degree MS continue to be a target for us.
Tim Power: Thanks, Chris. Let's go to our last question, please. Our next question comes from the line of Danielle Brill with Truist Securities.
Danielle Brill: Hey, guys. Good morning. Thanks so much for the question. Maybe a couple modeling items here. You mentioned the one time reimbursement true up for Skyclaris What was the magnitude of that, and how should we be modeling the quarterly run rate in 'twenty six? And then additionally for XERZUVEY, how should we be thinking about the impact of the European rollout? Thank you.
Robin Kramer: Yes. So in respect to Skyclaris, and the true up that was occurring in Ex US, that was $12 million. And I would look at that in relation to the occurring in the fourth quarter. Now it's Chris has mentioned in the past, as we go and launch Ex US, you have a situation where you have reimbursement occurring on a country by country basis, and so you have timing of booking to an until you get finalization of that reimbursement in place. And so periodically, you may see true ups or changes in estimates. But in respect to this, it related to two countries in Europe and it was a one time item in the fourth quarter.
Christopher Viehbacher: But I think you're gonna continue to see nice steady growth of Friedreich's ataxia. We still see this as a major opportunity. There are a lot of patients in South America, and so I think the launch in Brazil will be particularly important for us. That'll be, initially in a private market, and then we'll progressively get, state reimbursement as well. You know, Xerxovay, XERZUVEY will be interesting in Europe. Initially, the pricing assessments were coming back such that it didn't make sense. But I think one of the things that we have seen from the success in The US is that some of that is translating into Europe as well. So I think we are gonna be doing a highly selective rollout in Europe. It's not gonna be, pan European, because of the pricing questions. But I think we're already seeing pricing levels that are actually enough to be able to launch. And obviously, we are very mindful of the MFN environment. And, you know, while we have not not one of the companies that signed an agreement, as you've seen, there are, demonstrations projects now that have been launched by the administration. And so as we launch new products, we are certainly looking at this from an MFN point of view. And that's that will mean that, it's probably a target of about three or four countries that we're gonna be starting with as opposed to the whole 27.
Tim Power: Right. That concludes the call. Thanks, everybody, for your time today. If you've got more questions, just reach out to any of us on the IR team. Thank you.
Ruth: This concludes today's call. Thank you for your participation. You may now disconnect.